Operator: Good day, everyone, and welcome to today's Clean Energy Fuels Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this call is being recorded, and I will be standing by. It is now my pleasure to turn today's program over to Robert Vreeland, CFO.
Robert M. Vreeland: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the second quarter ending June 30, 2025. If you did not receive the release, it is available on the Investor Relations section of the company's website at www.cleanenergyfuels.com, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we'd like to remind you that some of the information contained in the news release and on this conference call, contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Such forward- looking statements are not a guarantee of performance, and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of Clean Energy's Form 10-Q filed today. These forward-looking statements speak only as of the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. The company's non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that the company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information reasons why management uses non-GAAP information, a definition of non-GAAP EPS and adjusted EBITDA and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release, which has been furnished to the SEC on Form 8-K today. With that, I will turn the call over to our President and Chief Executive Officer, Andrew Littlefair.
Andrew J. Littlefair: Thank you, Bob. I'm pleased to say that the second quarter of this year again demonstrated the underlying strength of our overall business. Despite the continued shifting regulatory atmosphere, uncertainty around tariffs and other external distractions in the market, we posted a very solid performance with $102 million of revenue, over 61 million gallons of renewable natural gas sold, $17.5 million of adjusted EBITDA for the quarter. And with $241 million in cash and other investments, we remain on solid financial footing. I will keep my remarks on the short side today and let the results speak for themselves. But I do want to give a little color to emphasize my previous point about the strength of our fundamental business, which is allowing us to update our projections for our 2025 financials. Bob will be giving you the details, but suffice to say, we believe we will be exceeding even the high end of our original guidance. We distributed a press release last week that highlighted a number of deals that we have made over the last several months with transit agencies across the country. We signed our first transit agreement over 25 years ago. And since that time, we have continued to steadily grow this business. Today, we fuel over 9,000 transit buses every day at 115 locations. This is due to several factors. Buses equipped with natural gas engines are not only reliable in tough conditions, but they are clean and quiet. Operators very much appreciate their dependability. Cities like that the buses dramatically reduce harmful NOx pollutants and passengers appreciate they don't smell diesel fumes as they ride along. Also, more and more transit agencies are seeing the double benefit of carbon emissions reductions, plus cost savings by converting their fleets from traditional CNG to RNG. With almost 100 different RNG supply contracts, no other company can ensure a steady flow of this clean fuel like clean energy, which is why we are winning so many contracts. Like the transit market, our business with waste companies is consistent and growing. As the recognized leader in the alternative fuel space, we can expand existing relationships with refuse companies and win new deals, once more by the assurance of a steady supply of RNG as these companies expand their natural gas fleets. We continue to be bullish on the heavy-duty truck market's adoption of RNG. While we as well as Cummins acknowledge that the sales of trucks equipped with their new X15N engine aren't where we had hoped they would be at this point, there are signs that continue to point in the right direction. Between the change in administrations in Washington and the evolving regulatory atmosphere in California, all truck sales have been hit hard while operators wait for more clarity. Fortunately, that clarity is beginning to emerge. There is an acknowledgment during our discussions with both carriers and shippers that they want to continue to look at ways to reduce harmful Scope 1 and Scope 3 emissions. One of the most promising recent policy changes is that these fleets no longer are forced to consider only one technology, and one that is too costly and still unproven. That, along with other developments like market leader Freightliner recently offering the X15N option is why we remain bullish. Trucking companies continue to engage with us as they evaluate the RNG solution. Price still wins the day in the highly competitive logistics business. Fortunately, it is easy to get the fleet's attention when they are presented with up to a $2 a gallon savings on fuel. I'll end my remarks with a quick report about the progress we have made in our RNG development business. In the relatively short time since launching our dairy RNG production business, we now have 6 dairy projects operating with another large project in Texas in commissioning and our largest project in Idaho completing an important pipeline extension and nearing mechanical completion. Both the Texas and Idaho projects are on schedule to begin producing RNG by the end of the year. Additionally, the dairy RNG projects that we are developing with Moss Energy have begun construction. Using our own RNG allows us to capture a greater percentage of the overall value of the fuel, not only at the pump with environmental credits, but also through the monetization of the investment tax credit. We recently announced $29 million ITC sale in connection with 4 projects owned by our RNG joint venture with BP. Dairy RNG emission rates for the 45Z production tax credit are in the process of being finalized. We are pleased with the recognition of negative emission manure feedstock RNG in the One Big Beautiful Bill Act. This legislation allows the U.S. Treasury to recognize the full benefit of dairy RNG, which involves capturing carbon emissions from dairy cow manure and converting them into productive use as a negative emissions highway transportation fuel. Let me close with saying that we continue to feel very good about the way our businesses are performing, both the upstream and downstream to put it in the old energy business vernacular. Fleets like transit agencies and waste companies that have been operating natural gas buses and trucks for decades are seeing a revitalization with the added environmental and financial benefits of migrating from CNG to RNG. And the relatively new market of heavy-duty trucking is slowly but surely starting to see the light. Clean Energy is well positioned to continue to lead the exciting RNG space with a growing portfolio of production facilities, the largest supply of RNG, the most expansive fueling network and a talented group of people. And with that, I will hand the call back to Bob.
Robert M. Vreeland: Thank you, Andrew, and good afternoon to everyone. The second quarter of 2025 was another good quarter. We saw increases in revenues and RNG volumes compared to last year's second quarter. Also, keep in mind, the revenues last year included $6 million of alternative fuel tax credit revenue, which expired for 2025. Our second quarter RNG volumes grew 21% compared to our first quarter of 2025. Now this bounce back was anticipated after the first quarter RNG production challenges due to unusually cold weather. Our operating cash generation in the second quarter of 2025 increased over last year and over our first quarter of 2025. As Andrew noted, we ended June with $241 million in cash and investments, which is up from $217 million that we had at the beginning of the year. It puts us in a very good place relative to our anticipated CapEx and other spend on our dairy projects. Looking at our net results. Our GAAP net loss for the second quarter of 2025 was $20.2 million compared to $16.3 million a year ago. But the results of the 2024 benefited from the $6 million alternative fuel tax credit revenue as well, the second quarter last year, if you recall, had 2 quarters of LCFS revenues, which was an extra $2.2 million that was in last year's second quarter. Adjusted EBITDA a year ago, second quarter was $18.9 million versus $17.5 million in 2025. But if you consider 2024, of course, had this $8.2 million of noncomparable income, you can see that 2025 has significantly improved over 2024. The improvement is principally the result of higher fuel volumes from both RNG and conventional natural gas, together with favorable pricing and cost mix in 2025 versus a year ago. In fact, the higher RNG volumes in 2025 compared to last year helped to mitigate much of the lower RIN pricing in 2025 versus a year ago. Now looking at our trend from the first quarter of 2025, where adjusted EBITDA was $17.1 million versus our $17.5 million in the second quarter, we did see very good benefits of the higher RNG volumes in the second quarter with a 77% increase in RIN revenue. Our LCFS revenue, though, was lower in the second quarter, mainly due to a 20% drop in LCFS prices since the first quarter, and we saw a drop in our base fuel margins on normal fluctuating fuel pricing mix and commodity cost mix. The net of all that basically resulted in a relatively flat volume-related product margin between Q1 and Q2 of 2025. We did see improvements in our construction and service margins in the second quarter of 2025, which helped bring our second quarter results slightly above those of the first quarter. On the RNG dairy front, the losses from our upstream Dairy RNG projects were about the same in the second quarter compared to the first quarter. The losses at this stage reflect the fact that 5 of our 6 operating dairy projects are in ramp-up mode, plus we have operating expenses in Idaho that we've talked about before. Our dairy project in Del Rio, Texas is producing positive EBITDA and steadily increasing its RNG production. We were anticipating producing more RNG revenue at this stage from the 5 projects in ramp-up mode, and we are taking corrective action to address those 5 projects as they ramp up, and we feel confident about being able to increase our RNG production volumes at those locations similar to what we did in Texas with Del Rio, although we have tempered our 2025 outlook on the dairy projects based on where we are through June. Lastly, considering our results through June of 2025, we are raising our guidance for the full year 2025 for both our GAAP earnings and non-GAAP adjusted EBITDA, you can find details in our press release, but at a high level, our GAAP guidance for 2025 is now for a net loss ranging from $217 million to $212 million, and our outlook for adjusted EBITDA for 2025 is now $60 million to $65 million. Our new guidance reflects the trends we've seen in our results thus far with anticipation that these trends will largely continue.But with caution, recognizing there are ongoing uncertainties still in play, particularly for us around the timing of adoption of the X15N RIN and LCFS pricing and the ongoing ramp-up in our dairy projects. That is my report. With that, operator, we can open the call to questions.
Operator: [Operator Instructions] And our first question will come from Eric Stine with Craig-Hallum.
Eric Stine: So, I guess I'll start maybe with the 45Z. Obviously, great that it was included in the bill. And I know waiting on treasury, just curious kind of what your updated thoughts are on what that potentially could mean for you, I guess, in the near term, if you apply it, well, I mean, per gallon, but if you apply it to where your upstream is at now and maybe where you think it is 2 to 3 years from now?
Andrew J. Littlefair: Eric, I'm not going to get into kind of a guessing on how many dollars per gallon and all that kind of thing. But look, I think the bill was very strong, right? As you well know, it not only got included, it got strengthened and it got extended and specifically is enabled to recognize the negative carbon and instructs the Treasury Secretary to take into account the negative carbon. So, I mean, I feel very bullish about how that should impact. And I think you should get a very good carbon intensity score, which should end up being on the higher end of the way people have looked at this. So, I think it should be meaningful for us going forward. But there's still a lot to work through, but I feel like we're well positioned because the legislation itself enables it and recognizes it.
Eric Stine: Right. Well, I guess I'm going to ask you to potentially guess again. But the, I mean, timing, I know that when you're looking at treasury guidance, it can be very tricky to call that. But I mean, is it something that you have any insight into or anything you're hearing?
Andrew J. Littlefair: Well, Eric, it doesn't really kick into effect January. So, we're kind of back in that where there's a lot of things at treasure on treasury's plate. I know they're working on this now, and I know other agencies and other departments that have input are engaged. So that's good. But I don't know that they're under a dead rush to get this done. They know that it doesn't really get put into play until January. So, I'm guessing sometime in the fall, you'll see it in, it would just be a guess, October, November, something like that, is probably get sorted out.
Eric Stine: Right. Right. No, I appreciate that. All right. Maybe just turning to the X15N. Obviously, as you said, I mean, it's certainly not to where I think it had been envisioned a couple of years ago or when things started for Cummins. But the one thing I've heard is just incremental cost as being a big deterrent for what PACCAR has had in the market for a year plus. Any thoughts or what you're hearing? I know it's early for Freightliner, but incremental cost, having another OEM in the market, what type of impact? Again, I know it's early, but just curious what you're hearing.
Andrew J. Littlefair: No, it's good. And we continue, our sales team continues to work with, of what I've said on a couple of calls is that for 2025, we wanted to see an increase in the breadth of the X15 and orders across the heavy-duty space. And I believe we're seeing that. What we've said, Eric, I think you and I have talked about is Cummins felt strongly. It's not about just some one big order with one fleet that you needed in order to build a market, really needed to have acceptance across. And I believe we're seeing that. And they're smaller numbers, but it's more breadth. The orders are taking place, quotes for pricing are underway. The Freightliner coming into the market has been very helpful. The incremental cost think has been a little bit of a stumbling block in the early introduction, certainly at the end of last year and the first part of this year. But we've seen some of our channel partners and the industry really pull together, OEMs, Cummins, ourselves and others have worked hard to bring the incremental price down. And that has happened. And so once upon a time when you'd see incremental pricing in the $100,000 or even greater range, you've now seen that come substantially down, something closer to around $75,000. That's important, Eric, because it gets you to where with our advantageous fuel pricing, it can get you into that very important 2- year type payback for the incremental cost. And that is, that begins then to really sing for fleets. So, the engines have performed beautifully. The, really, the test and the early adopters, I mean, that has gone well. And now that we're able to get this incremental pricing down, I'm feeling much better about the way the introduction will go.
Operator: Our next question will come from Rob Brown with Lake Street Capital Markets.
Robert Duncan Brown: Hi Rob! I want to dig in a little more on the ramp on the dairy projects that are ramping and the things you're doing. Could you give us some more color on kind of what you're doing and how long you think that can kind of take to ramp things up?
Robert M. Vreeland: I would say, if you have some. I mean I would say it's kind of normal, after commissioning and placing these things into service, we are kind of taking care of kind of normal, I would say, normal type punch list items that are I mean they're extensive, but we know what's going on. And I mean, they're very operational. So, you're looking at manure flow and all the different equipment that's out there. I think what the encouraging part for us is that there's nothing there that we're seeing that indicates that there's a showstopper of any kind. I mean we were able to get the Del Rio, Texas dairy up, but it takes some time. So, you never know. Sometimes it's a quick fix and there you go and or it can take a little time. But, so I think we'll be at it kind of going through this year on this ramp-up and correcting them and, but it shouldn't go much beyond. I mean we should start hitting the ground running a bit more going into next year for sure.
Andrew J. Littlefair: Eric, it's kind of hard to all these different Rob, I'm sorry, Rob. It's kind of hard all these different phases on these things. But I would sort of say when we, often the business or at least in our business, we used to think about commissioning as something that was very defined, right? It was like 2 weeks to, when we commission a fueling station, that's kind of how long it takes. And I would say here, the commissioning is it's a little bit more varied. And it's more in the scheme of 6 months, realistically by the time you bring them on and you start, you really debug and improve and enhance these dairies. And it's more on that order. So, I think Bob is exactly right. Toward the end of this year, you'll be getting much improved run rates that's something much closer to nameplate whereas right now, you're,
Robert M. Vreeland: Just to be clear, we are producing RNG volume and monetizing what we can. So, these are operating and you just have to kind of deal with some of the nuances of, I mean, it's biology. So, we know what we're up against there, but we have a good team and good experience. And so, it will get there. It's just a little, maybe a little slower than we anticipated.
Robert Duncan Brown: Okay. Great. And then on the market demand, I think you talked a little bit about some regulatory clarity starting in the market. But can you just kind of update where that's at and maybe the point at which customers get more kind of clarity and comfort that they can make a decision?
Andrew J. Littlefair: Yes. In my remarks, I don't want it to, there are some macro issues here. It's not all about the introduction of cleaner trucks. The trucking industry sales of new trucks in America is off significantly. And with tariffs and supply chain and inflation and concerns at the ports. I mean, we've really seen the trucking market has had a very tough year. And the acquisition of new equipment has been something, I don't know, it's been off 50%. Then you lay on top of it what's happened in California because of the regulations, which were requiring an electric truck in order to buy other trucks. That will all but shut down the acquisition of new trucks in California. I mean, I think the new truck sales in California are off something on the order of 75%. And now as you know, as I speak of, you're beginning to see more clarity. In California, the Trump administration got rid of the waivers or didn't approve the waivers on the ACT and the ACF fleet rule. And that still, we haven't seen total clarity yet on how that's all going to come to rest and what may be happened in California, but that's beginning to take care of itself. CARPs had a couple of hearings, and it's expected that there's going to be some new recommendations to the governor of just how to sort out the clean truck fuels program in California. And so, I think here over the next couple of months, we should get a little bit more clarity there. And hopefully, truck sales will begin to. And we also hope that low NOx trucks will get a nod in that program as well, which will be very important for RNG going forward. But through all of this, what is heartening is that a lot of our trucking customers and shippers are still wanting, are still interested, still believe that they need to field sustainable equipment. And so that's good. And yet, I would say, common sense and economics are prevailing right now. And so, it's got to make economic sense. And again, this is a little bit of good news for us, Rob, because we can price our fuel and get them savings on every mile traveled. So been a little slower on the adoption, but I think it has as much to do with sort of macro issues in the industry as it does specifically with the X15N.
Operator: Our next question will come from Derrick Whitfield with Texas Capital.
Derrick Whitfield: I wanted to start on guidance first. Could you perhaps add some color around what's driving this rerate and growth and success you're seeing in dispensing in your view? And then separately, to what degree has that been communicated in public comment in a public comment period for the STEP 2 rule because that clearly has demand implications, and we know generation was quite strong in May and June. So again, would love your thoughts on those topics.
Robert M. Vreeland: Yes. Derrick, I'll start on the, what we're seeing there. I mean, I think we're definitely seeing continued strong volume. That's, it's been a little choppy because Q1 was a little off, but then we kind of came back and rebounded there in Q2. I think in general; we've also seen just a good mix of more vehicles within the kind of the, our pool of customers and whatnot, just more vehicles at our stations and fueling volumes at our stations will drive economics. So, you're getting kind of a better margin per gallon, if you will, which is we work we were cautious on that. There's a lot that can go into it between RINs and LCFS as well as even the spread on oil to nat gas. And so far, all of that put together, it hasn't all fired on all cylinders all the way. For example, this past quarter, LCFS was down, but we had tremendous RIN volume, and so that helped. But all of that has been collectively going in our favor. And while we still remain somewhat cautious, basically, we do see that some underlying trend on that will continue. We don't see that kind of dropping off just between kind of oil and natural gas, even within the RIN LCFS, we've already baked in. We kind of know that we see the trend there. So that's part of why we see this back half could be, you could have a little headwind because the environmental credits are down. So I know you were going on the second part of the question was, Well, this kind of better than expected and the demand and then yet on the EPA, and I think you're going down the RVO is that, how is that not factored in to RVO because there's been comment out there that they didn't consider the…
Andrew J. Littlefair: Well, look, we, there's a comment period right now in the RVO. I think it's generally a little, the RVO is a little light. But let's not overemphasize this in our business. I mean it's an important piece, but it's not the entire piece. And while I think they got it a bit light, I've been at this a long time, we all have here. The EPA struggled to come up with the right methodology on RVOs or discussion. So we're going to give them some of our insight on demand growth, X15 and growth and the kinds of customers that we see that are interested and some, who knows how that will go. But I feel like the RVO, it's somewhat constructive, and it should keep the pricing in about this range, which is fine for our business.
Derrick Whitfield: Yes, makes complete sense. And then maybe just focusing in on downstream. I wanted to ask for your thoughts on some of the recent dispensing transactions that have been announced with Trillium and Apollo, which are seemingly rerating the value of downstream and also highlighting at the same time, the growing disconnect between your stock and the markets.
Andrew J. Littlefair: Well, I don't know. You're going to have to help me there on what you're seeing on that because I don't know that I have conclusions on that on the pricing of that. What are you seeing there?
Derrick Whitfield: Sure. We're seeing since COVID potential 2x increase in the value of downstream, which could put those assets on a near 10x multiple basis based on our math. When we look at kind of what's implied in your business today, very little value for, or not that level of value recognition for the downstream. So that was kind of the comment and thought process behind that.
Andrew J. Littlefair: Yes. Well, that would imply that we were undervalued. Yes. I mean, I think general, we're, we like to see those kinds of transactions in the space that basically supports the valuation and a higher valuation for us. Why it doesn't translate to us is, look, I still think actions speak louder than words, and you still want to see significant X15N adoption and growth, and you see that in our numbers. So we're kind of set up for prime time on that. We're also a bit larger. Yes. I mean, I guess it sort of validate, I've long believed and in fact, we've talked to some significant players in the business. I mean, in order to replicate our debt downstream, it would be $2 billion, $2.5 billion to do it today. and a decade. So we are well positioned with a network that would be, and I happen to be, I'm an optimist, but I happen to believe that over time, the experience, one of the reasons we're doing well right now is we have, our Amazon stations are doing well, right? We proved out that large deployments of trucks, it can work and that RNG can work well. And so we have a lot of unutilized capacity at our downstream that's super well positioned. We have these truck stops up and down every interstate system in the nation. And so as this demand begins to develop, we're going to get, we get a disproportionate amount of downstream. Today, we're, in most markets, we're about 50% or 60% of the market share. So that's why we work so hard on the demand side of this equation. And now that we have the right product, the X15N, we've got the right kinds of fleets. All the largest fleets in America are testing or buying some of these X15s. Now we need them to do it in greater numbers, of course. But I like where we're headed.
Operator: Our next question will come from Manav Gupta with UBS
Manav Gupta: Guys. Excellent result and a raise of the guide. I just wondered your outlook on the LCFS price. You did mention RVO was a little light. I agree it's a little light for your, on the B3 side. But the LCFS developments are positive. And I'm just trying to understand how are you thinking about the LCFS prices exiting 2025?
Andrew J. Littlefair: Manav, I think it's good because we haven't talked about that enough. I think that the new rules for the LCFS and the new, finally that those got into place, that should be constructive over time. We'll begin to work off of the, we'll begin to work over the oversupply in the bank. And it doesn't happen overnight, as you know. But it will be the case that it will be, it's beginning already. And you'll have a firming price throughout the remainder of this year and into next year, and it will continue to go up. So I like where the LCFS is headed.
Manav Gupta: Perfect. That's what I was hoping for. And then the investment tax credits are a big benefit. You can monetize them. Given your CapEx spend and other things, how should we think about the benefit of this into next year? Like what could be a good number? I know it's a little bit of a guess, but what could be a good number for investment tax credits that you could monetize if you're thinking about next year or even the second half of this year?
Robert M. Vreeland: Well, let's see, Manav, okay. So, we've monetized the investment tax credit on all of our projects that have been placed into operations. And really, that money is being utilized in the JV, right? So, it's, so we've seen that. So, what we have really are a couple of projects under construction. There's a big one in Idaho, one in Southwest Texas, and then we have our Mas Energy deals. And all those, it's, I don't want to speculate on what that would be. I mean we're, those are, the dollars involved are pretty large, particularly in Idaho and others. But I guess, generally, how we're viewing that is that it provides us a nice inflow of capital to take down our kind of net capital outlay on those. And, so it helps the return, if you will, we kind of use it.
Manav Gupta: That's very clear. As long as you're basically clarifying that there are large investments, particularly associated with the Idaho project, Eventually, we'll be able to get it back in the cash stream. Thank you for the response.
Andrew J. Littlefair: I guess the other thing is on one of those, we own 100% of, right? So that…
Robert M. Vreeland: The one in Texas, we own 100%.
Andrew J. Littlefair: So we are splitting the ITC with a partner on that one. We get all of that.
Operator: Our next question will come from Matthew Blair with TPH.
Matthew Robert Lovseth Blair: Are you seeing signs of incremental tightness in the downstream CNG refueling market? And if so, are there any examples you can share? So for example, when you recontract an existing fleet, is that coming in at a higher rate due to incremental tightness? And I guess the reason I ask is because your baseline fueling margin, excluding the RIN and LCFS credit revenue really seems to have taken a step up here. And so we're just trying to get a better understanding of why that is.
Andrew J. Littlefair: I don't know that we're seeing a tightening there. I think you're seeing, well, I mean, you're seeing, there's, I mean, you're just seeing kind of more fueling, what impacts that base margin is the volume at our stations. And as we grow our customers that are just kind of pure trucking, fueling at our stations, I mean, as an example, our Amazon stations are purpose-built. They haven't been fully there for this year, of course, and most, maybe most of last year. But as we continue to, our fleets continue to grow, our customer fleets continue to grow. And so the shift is really toward kind of fuel volumes and fueling at our stations. And so you're starting that is what drives that base margin. And as well, just the spread kind of oil to nat gas has been good. And we make money at this with volume. You do make some money. Certainly, there's margin there with that spread. I mean, the spread, I think I looked again today was 21 kind of [WTI to NYMEX.] So that's kind of it. Matthew, there's not any complicated deal. It's just mix of fuel volume at our stations.
Matthew Robert Lovseth Blair: Sounds good. And then congrats on raising the guide. I think even at the top end of the guide; it would imply that the back half of the year would be a little bit softer than the first half. Could you help us understand the moving parts there? Is that just a function of trying to be a little cautious given lower RIN prices? Or is there some seasonality at play? What would determine that?
Andrew J. Littlefair: Just general caution, like I said in my comments, vehicle adoption, what's going out there in the vehicles in terms of what's being purchased, all of that. LCFS, there's volatility there. We've got, we're ramping up those. So, our base underlying, as we were just talking about kind of the base underlying and fueling and that those are the trends that we kind of largely said you would see those continue. But there's other just caution there, yes.
Operator: Our next question will come from Betty Zhang with Scotiabank.
Y. Zhang: I wanted to ask, so in the updated guidance, I noticed that the expected Amazon warrant charges for the year is higher. Does this reflect more fueling demand from Amazon? And are you seeing similarly more interest in demand from other trucking customers?
Robert M. Vreeland: Betty, it does, from what was in the previous guidance, that's correct. Now are we seeing other yes, Expand. Yes, we are, but not the silver bullet. I mean, look, we're, the X15N is still a bit of a question.
Andrew J. Littlefair: So, But I think, Betty, you've got it right. You figured out what you're looking at there on the Amazon. So that volume is up. And the guidance also expects that there will be increased volume from trucking. I'd like a lot more, and we hope that will be the case. But I think that's kind of we're being a little cautious. But yes, you're seeing the increase.
Y. Zhang: Got it. Makes sense. And then I was wondering if you could just provide an update on your RNG projects under construction.
Andrew J. Littlefair: Well, as we said kind of went over pretty fast, but 6 projects are completed, right? And they're in kind of the debugging stage as we talked about. And Betty, I don't know if you were on that part of the call, but they're in the ramp-up phase and that commissioning, I'd sort of say that feels like that could take 6 months rather than it's not all done in 2 weeks, okay? So those are in play. We have expectation that they'll be sort of on a similar track to what we saw with Del Rio, which has done very well. The next 2 big projects that we have under construction, we're really feeling good about South Fork, Texas dairy, that's 100% owned by us. And that's really gone, I think, very well to this point, right? It's kind of been on time and on budget. We're in the commissioning save. We've actually loaded manure into those tanks. There's a lot more to be done there, but that one is coming along nicely. And then our final -- our large project, a really big project in Idaho, we've had some substantial milestone completions there. We completed the 11-mile pipeline. We're testing and filling up and some of the big digesters. It's a very impressive project there. And so that will soon go into more formal commissioning. And we expect both those projects to be kind of on the beginning of production the latter part of this year. So, we feel good about that. And then we have 3 MAS projects at 6 dairies, let's call it that 6 dairies that have really 3 projects. Those are all under construction. And just beginning, but those are all underway. So that's kind of where we stand right now.
Operator: And at this time, we have no further questions in the queue. So I'd like to turn the call back over to Andrew Littlefair for any additional or closing remarks. Thank you.
Andrew J. Littlefair: Thank you, operator, and thank you, everyone, for joining us today, and we look forward to filling you in next quarter. Have a good day.
Operator: Thank you, ladies and gentlemen. This concludes today's presentation, and we appreciate your participation. You may disconnect at any time.